Operator: Good morning, afternoon, evening. My name is Catherine and I will be your conference operator today. Today's call is being recorded. And at this time, I'd like to welcome everyone to Savaria Corporation's Quarter 2, 2021 Conference Call. [Operator Instructions] After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] This call may contain forward-looking statements, which are subject to the disclosure statement contained in Savaria's most recent press release issued on the August 11, 2021, with respect to the Quarter 2, 2021 results. Thank you. Mr. Bourassa, you may now begin your conference.
Marcel Bourassa: Thank you, Ms. Catherine. We have a very, very interesting Q2, okay, that we put in the press release that we gave yesterday. So we find that our acquisition of Handicare is even more interesting than ever. I think that's a perfect fit. This may inclusively fit with Savaria. That's a good compliment. A good complement on talent. Talent is always very important when we make an acquisition. And after that, a good complementary on their operation. I think they are outstanding the way that they manufacture curved stairlift. So what is very interesting we'll have this equipment of manufacturing curved stairlift that we will begin in -- by the end of the year in Toronto to manufacture this outstanding products and the way that we -- they manufacture that. So we will learn from that and after that curved stairlift can be delivered in the maximum 3 days after the orders, that's very impressive, and I like it very much. So they bring that's important -- they bring that to our company, and they bring the cross setting of our products of our house to other people in Europe. So Garaventa begin to make some cross-selling, but -- and thank them, but a big improvement would be by the people of Handicare, that's -- that mission okay, they know about that. I think that we've changed our vision of selling Savaria projects in Europe and other countries. So we speak about yesterday about the $100 million that's very comfortable with this number. And after that, we will speak about the reaching, our goal of $1 billion by 2025. And that we are very, very happy what we see to reach this number without key acquisition, and just maybe a small one. So my people -- my specialist will speak about that. My specialist are there on the phone. So we will begin the question shortly. I just want to say, we see some residential strongly order. And we see that the commercial will come slowly after the pandemic will be -- pandemic will be resolved a little bit. So we are very, very enthusiast about that. So will you begin the call, Catherine. Thank you for your introduction. And Mr. Rimbert, Mr. Sebastien, and Steve are on the call to answer to you, guys. So again, thank you for -- to be part of our story, to tell the story. We need people to say our story, our great story. That's another great chapter that we have this morning. And plus we have MaisonBrison that will work for Savaria in Communications. So thank you Mr. for the house and Mr. [indiscernible] to be the Head of this MaisonBrison, that is - they are very good in Communication. Thanks again. So we are ready Catherine for the call.
Sebastien Bourassa: Okay, thank you, Marcel. So basically, let me start to discuss the progress on the integration with Handicare. The second quarter was the first quarter to include the full contribution of Handicare. We had a very good start to our integration plan. We set up multiple committees that meet every two weeks to discuss opportunities and make sure we keep on track. These committees have been mostly meeting on Teams so far, but with travel restriction lifting, we have begun to meet in person, which give us a much better perspective. Example, in Q2, we had a chance to go to [indiscernible] to meet the team of [indiscernible] to discuss about the patient handling. We have met in person with the team of Handicare in Toronto. In terms of synergies, we started to look at both costs of goods sold and indirect costs, including corporate costs, and being a public company, purchasing, integrating some of our products. While we are making some headway on those savings, aside from certain administration savings most of these are not reflected in our results of Q2 as we're still in early days. Also a major project underway is a capital investment at a factory in Toronto to accommodate the production of the freecurve stairlift of Handicare. The layout of the new production and line has been designed. Special equipment has been ordered from Europe, including welding robot, bending machine, and we have begun to train our operator at length. We are continuing to expect to start production by the end of Q4. The project will bring a higher degree of automation to our factory in Toronto, and we cut lead time, as Marcel said, from 3 to 4 weeks to 3 days, providing us a significant competitive advantage. So thank you to the team in [indiscernible] which is led by Pete. I will now pass it on to Nick for some cross-selling initiatives.
Nick Rimbert: Thank you, Sebastian. With respect to cross-selling, we have begun an in-depth review of our respective product lines, both within acceptability and patient handling. Our sales leaders are working together and currently laying the groundwork for a collaborative commercial strategy across all our brands. We are managing and organizing our dealer channels in the U.S. and Canada to accommodate the significant interest we've received for North American made curved stairlift. In Europe, we've introduced our broader acceptability lineup to Handicare sales team, including our Vuelift glass elevator. And Handicare dealers in Europe have also become placing their first orders for Garaventa Lift platform list. Within patient handling, we are exploring how best to optimize our sales efforts to better serve our customers. This will involve the introduction of span bed frames and pressure care products within Handicare sales channel, collaborating on the joint filing line and leveraging Handicare service installation infrastructure. We're also looking to jointly attend industry trade shows, further bringing our sales teams together. While cross-selling takes the most time to set up and develop in the long-term, we believe it has the most upside potential. However, we should not expect meaningful results from these activities in the short-term as our people need time to learn the products and how best to sell them. While we're in the midst of our integration with Handicare, we're still looking, I guess, to do some tuck-in acquisitions. And as we mentioned in the past, these might include dealer in a strategic region for a small manufacturer of a complementary product. We're well positioned to take advantage of these opportunities as they arise. And with that, I'll pass it back to Sebastian for some brief comments.
Sebastien Bourassa: So thank you, Nick. I just want to bring to your attention a few supply challenges we have experienced in our business recently. Like many other companies, we have faced headwinds with regards to supply chain, delays in receiving orders, a significant increase in our cost of container, that difficulty to our direct labor. We do our best to continue to be proactive. And despite this challenge, we were able to deliver strong results in the quarter. Also, we have recently implemented some price increase to our customer in most of our brands to help mitigate inflation. We are hopeful to see some small margin improvement in Q4. I will now turn it down to Steve for a financial review.
Steve Reitknecht: Thanks, Sebastien and good morning, everyone, and thanks for being on the call this morning. I'm going to begin with some remarks regarding our Q2, 2021 consolidated financial metrics. For the quarter, the corporation generated revenue of $179 million, more than double the $85 million reported in the second quarter last year, mainly due to the acquisition of Handicare. Gross profit and gross margin stood at $65 million and 36.5%, respectively compared to $29 million and 34.6% for the corresponding period last year. The increase in gross profit over prior year was attributable to a favorable product mix with the acquisition of Handicare. Adjusted EBITDA and adjusted EBITDA margin stood at $27.4 million and 15.3% respectively, compared to $14.5 million and 17.1% in Q2 2020. The significant increase in adjusted EBITDA was mainly attributable to the acquisition of Handicare and ongoing corporation wide cost containment efforts, partially offset by a reduction in the COVID-19 employment retention government of Canada subsidies. Turning now to segmented results. Revenue from our accessibility segment was $130.8 million in Q2 2021, more than double when compared to $60.2 million generated in Q2, 2020. The increase in revenue is mainly attributable to the acquisition of Handicare, which contributed an increase of 109.6% and also organic growth of 12.4%, driven by the economic recovery from the global pandemic. This growth was partially offset by a negative foreign currency impact of 4.8% for the quarter. Adjusted EBITDA and adjusted EBITDA margin in both before head office costs stood at $23.4 million and 17.9% respectively, compared to $12.3 million and 20.4% for Q2, 2020. The significant increase in adjusted EBITDA is due to the acquisition of Handicare, while the decrease in adjusted EBITDA margin is due to the reduction in the COVID-19 employment retention and government of Canada subsidies, partially offset by cost containment efforts. Revenue from our Patient Handling segment was $36.1 million for the quarter, an increase of $14.8 million or 69.7% when compared to Q2, 2020. This increase was primarily driven by the acquisition of Handicare, which contributed 77.3% of growth, partially offset by a negative foreign currency impact of 7.7% for the quarter. Adjusted EBITDA and adjusted EBITDA margin both before head office costs stood at $4.7 million and 12.9%, respectively, compared to $2.8 million and 13% for Q2, 2020. Similarly, to the accessibility segment, the significant increase in adjusted EBITDA is due to the acquisition of Handicare, while the decrease in adjusted EBITDA margin is due to the reduction in COVID-19 employment retention, government of Canada subsidies, partially offset by cost containment efforts. Revenue from the adapted vehicle segment was $11.7 million, an increase of $8.6 million or 270.7% when compared to the same period in 2020. Adjusted EBITDA and adjusted EBITDA margin, both before head office costs finished at $1.3 million and 11.2%, respectively, compared to negligible amounts in Q2, 2020. The increases in revenue and adjusted EBITDA and adjusted EBITDA margin when comparing Q2, 2021 to Q2 2020 were again, mainly due to the acquisition of Handicare, the economic recovery from the global pandemics, and partially offset by a reduction of COVID-19 employment retention Government of Canada subsidies. In Q2, 2021, net finance cost stood at $5.4 million, up $3.9 million from the $1.5 million for the same period last year. The increase is mainly due to higher interest expenses as a result of additional long-term credit facilities related to the acquisition of Handicare. Net earnings reached $6.6 million or $0.10 per diluted share compared to $6.1 million or $0.12 per diluted share for the corresponding period last year. When we exclude one-time costs, adjusted earnings were $9.5 million or $0.15 per share, up over 50% versus $6.3 million or $0.12 per share for the corresponding period last year. Now let's turn to capital resources and liquidity. Driven by this solid profitability, Savaria generated cash flow from operations of $14.4 million in the quarter. We used this cash to primarily reduce debt, invest in capital projects and pay dividends. As of June 30, 2021, the corporation had a net interest-bearing debt position of $279 million and within compliance with all of its covenants. On a pro forma last 12 months, adjusted EBITDA basis, the corporation's debt to adjusted EBITDA ratio was approximately 3.5 times. In addition to realized liquidity in excess of $125 million to fund the future projects and investments across the company. Now taking a look forward, the uncertainty around the future impacts of the ongoing global pandemic makes it difficult to predict future performance. However, considering our financial performance year-to-date with an adjusted EBITDA of $44.7 million, coupled with current backlog levels and our confidence in the strategic integration plan of Handicare, we remain optimistic that we will achieve our previously stated goal of generating an adjusted EBITDA in excess of $100 million for fiscal 2021. Please refer to our MD&A for the underlying assumptions used to prepare this guidance. With a strong product portfolio reaching over 40 countries, our increased distribution network, combined with slowing demand for mobility products, we are very well positioned for future growth. And on that note, I will turn the call back over to Marcel.
Marcel Bourassa: Thank you, Steve and thank you, Nicolas and Sebastien to make your comments. And you know the guy and the people on the recent 20 years, [indiscernible] is not improving at all. Excuse me for that. And the other thing I can't say right now, that our ratio, debt of EBITDA seems high a little bit. But what we see coming in the next two years, well, I'm not satisfied at all to have this ratio, right now, over 3, but going back, smaller in a couple of years. So that was -- thank you for my guidance, but you can read that on our MD&A. But what is very important is your question that you have to ask to our guy, my guy or to myself. So Catherine can you pass -- can you do some question from our people who I know.
Operator: [Operator Instructions] We'll now take the first question from Derek Lessard at TD Securities. Please go ahead.
Derek Lessard : A lot going on, but my first question is maybe on the organic revenue growth. Probably the best you've seen in two years. And I know you did mentioned Garaventa recovery but just wondering if there was anything else driving that number that you'd like to highlight?
Marcel Bourassa: Steve?
Steve Reitknecht : Derek, with respect to organic revenue growth, and again thank you for highlighting about it, it's been the highest in a couple of years here, it's really on the back of the residential sector, that continues to be very, very strong. So in terms of what we would highlight is just that the commercial hasn't come back yet. I think that a lot of the landlords and various of these building owners, they're waiting to see sustained foot traffic before they make certain investments. So right now, it's really being driven by the residential, which is carrying us through here. That's, I guess, probably the best color I can give you as it relates to what's driving the organic growth and acceptability.
Derek Lessard : And maybe just switch gears. Curious on the -- on your view with respect to the evolution of margins this year, particularly, as you mentioned, you're dealing with numerous disruptions to the supply chain. I guess I'm particularly curious about how it relates to some of the Handicare synergies and maybe on your lead times and ability to meet your current customer demand?
Marcel Bourassa: Derek, maybe Sebastien will comment for me, okay. But me, I see a very organic growth in the future, some that was not very good in the last couple of years, about our growth. And I share with my people, that we have to be better. And we were better in Q2, and we will continue to be a lot better, by this mix of products right now available to Handicare. In the past, they were selling just straight stairlifts and curved stairlifts on accessibility project. But right now, they have a whole house -- all our products is accessible for our people in Europe, and other countries. So it's quite exciting, and Mr. Rimbert mentioned that, it's not overnight that we can make all this synergy, but it will come. Because the dealer keep prefer to buy more product, from the same place, as they know what kind of service they can have, right now with Handicare, and that will be just a very good complement to Handicare with our team to carry the service and installation, and everything that I think that will be driving this, what we will see in the coming years. So I am quite excited to be in this mix of products that we can offer to everybody. So I think the growth will be there. And I'm very optimistic what we have to see. And more important I see now that again the beginning this a good acquisition, so good people from Garaventa, that's another good complement to their product. So that we will see some good increase in that direct. And Sebastien you have some more to address.
Sebastien Bourassa: Yes, I think Derek, that's a very good question. And it takes some time, we have to be careful the way we answer, because sometimes we have competitor listening on the call. But if you go back to what is public, we see that in the first 2 years, we made $12 million of synergies, and it was mostly through a few baskets. The curve stairlifts, which we are doing in Toronto, there's more opportunity on purchasing, maybe not the best year because of inflation, but we can see purchasing, we are looking at it. And cross-selling, we said it started with Vuelift in Europe. The stairlift will happen next year with some of the dealer of Savaria Garaventa with Handicare in Toronto. And I think early time, yes, it's a bit longer than it was before, not because necessarily of supply chain, but our backlog is quite high right now on the residential sector. So maybe we are 1 or 2 weeks more than we were in the past.
Derek Lessard : Okay. And so maybe just 1 housekeeping for Steve. Can you just kind of give us the cadence and maybe level of CapEx we should expect, particularly given the investment in the Toronto plant?
Steve Reitknecht: A significant part of the Toronto plant investment has actually already been made. So that project, I’d say we’re probably half spent on that already. Our level of CapEx on a go-forward basis is going to be in line with our Q2 run rate and year-to-date, where we’re sitting.
Operator: We'll now take the next question from Michael Doumet of Scotiabank.
Michael Doumet: First question, again on legacy accessibility. I mean, you've indicated, again, on this call, as well in the last couple of quarters, it's been very strong residential, and commercials lagged. Are you getting market signals that commercial is on the cusp of a rebound? I guess the way I'm thinking about it, if we're not seeing that now with the reopening, when should we expect that to sort of play out?
Marcel Bourassa: So Mr. Reitknecht will complement my answer to the that, okay? You know that many commercial site, it was the -- it was not in operation during the pandemic, and not in operation even right now. So it would take maybe a little time, okay. But how the improvement on commerciality, part of that had to be accessible to this people that need more mobility. So I will ask Mr. Rimbert to complement a little bit my answer.
Nick Rimbert : Yes. Yes, sure, Marcel. It is difficult, Michael. So we don't have a crystal ball that tells us exactly what quarter is going to pick up. I guess, in our mind, it's just a question of it's more win as opposed to if. A lot of these commercial investments that we're seeing is upgrades to various buildings, either they're waiting, right? I'm not sure if you've been downtown recently, but still, I want to say it goes down, but it's very much -- the pushout is much, much lower than what we've seen previously, even that the economies are opening up, it is taking some time for restaurants to have the confidence. I mean, they're just trying to hire staff and bring people back in. Schools as well, right? I mean, we're seeing schools opened up, and then in certain areas schools are going back virtual because of the smaller outbreaks that are happening. So I think there's just a lot of uncertainty on the commercial space. And so before they're making those investments, they do want to see, I guess, a more sustained recovery. So with that being said, I think to our previous comments, the residential is really carrying us here in the organic growth, which is very positive, and we're seeing some very good momentum there. And then commercial, whether it's this quarter or next quarter, it will come back, and that will help sustain that momentum in organic growth. So we're not overly nervous about it. We have, as Sebastien mentioned, a very good backlog as it relates to our residential orders. So we're quite confident of where we are now. And when commercial does come back, we can be prepared.
Michael Doumet: Got it. That's very helpful. And maybe just on the residential, quarter-over-quarter, has the strength -- well, has the backlog strengthened? At this point, just I guess if you're tracking residential permits, trying to get a sense for if you're still seeing positive momentum in residential here?
Marcel Bourassa : Maybe Sebastien will complement to me on that. But I can see -- I see the number. And the number is quite important. And we see our residential elevators is like -- our order is like triple what we have like last year at the same time. It's why we are very optimistic when we speak to our dealers. And even on the direct installation, we have a very strong number from where we have direct installation. But for sure, okay, the dealers are important in our operation, and they are very optimistic with what they have orders with us. So I think it's just nice sales coming. Sebastien, you want to complement my answer?
Sebastien Bourassa : I think we are very lucky. We have a good backlog in residential. So that gives us a bit of more certainty for the end of the year to make sure we can have good growth again. So I think, for sure, we have done a lot of marketing activity on Vuelift. We don't always end up with sales of Vuelift. Sometimes we end up with other products like Eclipse or Infinity. But definitely, we have been doing quite good on the residential sector. And I think the pandemic, as that people don't travel, they want to stay home, do a lot of projects. So definitely, we are lucky.
Michael Doumet : Okay, great. And maybe just one more, but I wanted to ask a question on the new line in Brampton for stairlifts. Can you talk to the additional capacity that's expected to come online? I guess from what I've understood, Handicare has been shipping stairlifts to North America through freight. So therefore, I guess, should we think about the sales coming online out of Brampton as replacing the old sales? Or should they be incremental? I'm just trying to gauge whether this is a revenue story or a margin story at first?
Marcel Bourassa: If you want, can you…
Sebastien Bourassa: I think it's a combination of both. Definitely, we were a bit soliciting the freight. So we are doing it to save some freight. But the biggest thing is really the opportunity to manufacture curved stairlift in a short lead time, so we are going to see a lot of cross-selling. And at the beginning of the project, my team asking, why are you buying what you are about to, Sebastien? You are going to sleep. You are not going to work. So you guys don't worry about it. We are doing it for the future. And definitely, we are planning to do much more than what is the sales of Handicare right now. So we're going to be ready for -- to have a good year next year on the curved stairlift.
Marcel Bourassa: And just to add on that, I just will have a little complement on that, that you know that over the years, over years, a product that is very good on the margin, over 20%, is this curved stairlift. That will be a major product for us in the future, and will just help manufacturing and delivering in 3 days colored glass, North America. I don't want to be too much optimistic. But I am very optimistic about to manufacture something and deliver that in less than 3 days. Next one, please.
Operator: We'll now take the next question from Nick Agostino at Laurentian Bank Securities.
Nick Agostino: Congrats on the results. Very impressive. Certainly applaud the organic growth rate. I guess my question first is on the patient handling and ceiling lift. You guys talked about, I guess, realizing cost synergies. As we all know, I think Handicare has done a good job when it comes to fueling lift sales in general. I'm just wondering from a sales synergy perspective, is there anything that you guys have learned that you can use when it comes to selling the ceiling lift into the North American market, your product that is that these guys were already doing from a marketing or just sales in general?
Marcel Bourassa: Yes. Nick will answer this question after me, okay? But I just mentioned -- I speak about accessibility, accessibility, accessibility, okay? But our product from span and Handicare on the patient lift, that represents actually 20% of our sales. So we had to not forget that. And I think the cross-selling of the 2 company on that, that would be just in the future with -- when it will be full time, knowing exactly where it sells, where it combines on sales, I think it would be great, but I am sure that Nicola is more appropriate to answer to you, Nick. Nicola?
Nick Rimbert : In terms of what we've learned, I believe that was your question, Nick. What maybe you've learned from, I guess, from Handicare, for our own operations in terms of selling more ceiling lift product in North America? First, I would say that the ceiling lift and ceiling part of the business was actually very strong in the second quarter, and it has been for most of the year. So there's been a very good rebound in sales of those products in those categories. So again, Handicare contributed much of that in the quarter. What we're seeing and what we're working on together is trying to kind of put our sales forces together and realize where we might be able to open up more pockets of growth for us, whether it be going into certain spans channels, which are complementary handicare channels, whether it'd be looking at into products that we have and think where we might be able to use kind of the best of both, right? So if there are certain R&D projects that we're working on independently, maybe we join forces there and see we can be a bit more efficient in how we go about our R&D spending and in development. So there's a lot to do on both the synergy side, whether it be on the track. That is something that we're looking at kind of how the tracks are installed. We're looking at whether it be utilizing Handicare. I think I mentioned that in the call, their service installation infrastructure to kind of promote, yes not only maintenance programs on some of our existing products, we weren't necessarily able to service them, but also looking at how we might be able to leverage them. And we're looking at our own contracts, where currently, we don't necessarily have our own installation capacity, and we're using third parties. So maybe those are opportunities for us to now use Handicare's folks to do that work. So there's a lot that we're working on. It's still early days. The cross-selling is maybe the biggest potential for us, both on patient and adding accessibility. So it does takes the most time for it to really kind of develop and kind of percolate there. So please follow-up with this in the subsequent quarters of how those are developing.
Nick Agostino: Okay. I appreciate that color. I guess, and then my second question is just looking at an answer as you wish, but we're halfway through Q3. We certainly hear the optimism when it comes to the EBITDA for the full year. We got the sense as to where residential versus commercial sits. Can you maybe talk to some of the other products-built platforms and just straight to their sales? Are you seeing upticks as we're moving through the year and into Q3? And even on the vehicle side, you guys had a nice -- I know it's still small, but it's a nice snapback in terms of that demand. Does it look like it's going to be sustainable in the second half of the year? And I know in the past, you were restructuring your own division -- sorry, adaptive vehicles, that is to get it north of 10%. You're there now with the Handicare. How much more margin can you -- you think you can push higher on the vehicle side as you do your own restructuring?
Marcel Bourassa : Okay. Steve will answer after just a little comment that I will do. Just that I think we will go with that to a ratio of 13%. And for sure, maybe we can have some synergy altogether. And I am -- don't forget the people in which are -- need some transportation. I am very optimistic that we can have some growth in that and meet our objective for a combined 13% in the future. So Steve, do you have something to add to me?
Steve Reitknecht: Yes. Marcel, maybe I'll take this. Maybe just to start on the beginning of Nick's questions there. You had mentioned the other products. So yes, as you can imagine, straight stairlifts, along with curved stairlifts have been performing well going into the residential. Our residential clients, we talked about platform lifts, so many platform lifts, whether it be the vertical platforms or the incline platform lifts. Lots of that is sold into the commercial setting. So I think we addressed that earlier about commercial is a bit slower. So as you can imagine, sales of those products kind of coincide with how our commercial sales are growing. And then finally, maybe on the vehicles, we did have a good uptick here in this quarter. It was nice to see the organic growth come back within that segment for us. Handicare is well contributed. So when we look at the margins there, I think it was a combination of their business having some good margins as well as those improvements that you'd mentioned that we're making here in our facility here at action, I guess, over the past, call it, 12 months or so to kind of realign ourselves for lower production volume. So it's a combination of all of that. Where did the margins go? I mean, it's difficult for me to really kind of guide you there. But I think where we are today is a pretty good point, and we'll see over the next quarter or 2, we can make some incremental improvements on top of that.
Operator: And we'll take the next question from Zachary Evershed with National Bank Financial.
Zachary Evershed : Most of them have already been answered by the previous questions. So just one for me, but I'd be interested to hear about your plans for your marketing program. Can you give us the rundown?
Marcel Bourassa: Very good question. I will try to answer that, without that I will announce something that is not already announced. But we are very fortunate that we make an acquisition, and we’re still in good situation to put an aggressive marketing point – marketing strategy to sell our – to go do cross-selling. Man companies make a huge acquisition, but after that, they don’t have money. But now we have $125 million to do good strategic plan on marketing. And even in the west of the trades, when we will manufacture in Toronto, they’ll sell it. So I put again that we have $125 million to use to push this association of this great partnership that we have with Handicare. So what is the amount, you will have an answer to me next quarter. And we have already a strategic plan of it with that, but you will see the color of that in the – in our next quarter and our next conference call that we will have in 3 months. So that’s my answer.
Operator: We'll now take the next question from Louis Jutras from Desjardins Capital.
Louis Jutras: I'm calling on behalf of Frederic Tremblay. Just 1 question for me. Can you provide more details on your initiatives in Europe? Have you been successful at cross-selling Handicare's product there? And how would you characterize the market's level of interest for the Vuelift currently in Europe?
Marcel Bourassa : Maybe Sebastian or Nicolas will speak to -- answer more degree about this question. But it's just a start. We start since the acquisition on March 4. So it takes time. But was very important at the beginning is how our team from Handicare are interested by our products. And they are very interested. The did see growth opportunity in that. Nothing is easy. But when you have some products to an organization the magic of synergy is there. So we feel -- and what's very importantly that our team at Handicare are very, very enthusiastic to work with us, sell our products in Europe.
Nick Rimbert : So maybe I'll just add that complement, okay?
Marcel Bourassa: Yes.
Nick Rimbert: So basically, where we started to have some small success, if we can follow this week in Europe, Handicare, they have introduced a Garaventa platform to the dealers. And we already have some small success. So some people have -- they have interest with more one-stop shop. So we think that's a start. Vuelift in Europe, I think Garaventa took some time to start, but we are starting at the beginning of trend in Germany and in Swiss. So I think that's a start. And definitely, we are making some training with the Handicare team and the Garaventa team every week. That's something which is on the agenda. We know it's important. So definitely, that's going on. And the stairlift, I would say, North America, yes, some of our dealers maybe reached to Handicare, but a lot of them are kind of waiting to start. So that's really, I think next year, you will see more numbers on cross-selling of stairlift in North America once we manufacture here. So I think that's the start. Third quarter, we are aligning our R&D for maybe for the future, what we want to do in the future in Europe, okay, some products that we might bring over there. So definitely, the one stop shop is another pipeline.
Operator: It appears there are no further questions at this time. Mr. Bourassa, I'd like to turn the conference back to you for any additional or closing remarks.
Marcel Bourassa : Okay. So thank you, guys, to be there for this call. I think, again, our story, our growth story, you have to take care of the communication of that. Thank you very much. Thank you again for Marie-Jean Bourassa. And thank you, my internal guy to participate at this call, and everybody is very enthusiastic. So thank you, and we’ll see you in 3 months. Bye.
Operator: That concludes today's call. Thank you for your participation. You may now disconnect.